Operator: Thank you for standing by. And welcome to the AllianceBernstein Fourth Quarter 2025 Earnings Review. At this time, all participants are in a listen-only mode. There will be a question and answer session and I will give you instructions on how to ask questions at that time. As a reminder, this conference is being recorded and will be available for replay on our website shortly after the conclusion of this call. I would now like to turn the conference over to the host for this call, Head of Investor Relations for AB, Mr. Ioannis Georgali. Please go ahead.
Ioannis Georgali: Good morning, everyone, and welcome to our fourth quarter 2025 earnings review. Today's conference call is being webcast and is accompanied by a slide presentation available in the Investor Relations section of our website at www.alliancebernstein.com. Joining us today to discuss the company's quarterly results are Seth Bernstein, our Chief Executive Officer, and Tom Simeone, our Chief Financial Officer. Onur Erzan, our President, will join us for the question and answer session following our prepared remarks. Some of the information we'll present today is forward-looking and subject to certain SEC rules and regulations regarding disclosure. So I would like to point out the safe harbor language on slide two of our presentation. You can also find our safe harbor language in the MDNA of our 10-K, which will be filed next week. We base our distribution to unitholders on our adjusted results, which we provide in addition to and not as a substitute for our GAAP results. Our standard GAAP reporting and reconciliation of COP to adjusted results are in our presentation appendix, press release, and our 10-K. Under Regulation FD, management may only address questions of material nature from the investment community in a public forum. So please ask all such questions during this call. Now I'll turn it over to Seth. Good morning, and thank you for joining us today.
Seth Bernstein: 2025 was a year of disciplined execution and strategic progress for AllianceBernstein. I'm very proud of the strides we've made as a firm, and I'm deeply grateful to my colleagues for their dedication and impact. One individual who has played a pivotal role in our transformation is our newly appointed president, Onur Erzan. With a proven leadership track record spanning our client group, private wealth, and more recently, our private markets businesses, Onur has consistently demonstrated strategic vision, a tireless work ethic, and a deep commitment to our clients, our people, and our unit holders. As CEO, I will continue to set the firm's strategic and guide our leadership team. I look forward to partnering with Onur, who will lead the transformation of our business, execute our strategic priorities, and drive profitable growth. Working closely with Equitable to deliver innovative client-focused solutions. Now let's dive into our key business highlights from the quarter and the year. On Slide three. First, our assets under management reached a record $867 billion at year-end 2025. Reflecting market appreciation, strong sales, and organic growth across ultra-high net worth, insurance general accounts, tax-exempt SMAs, and private A notable positive is our Bernstein private wealth business, which has $156 billion in assets under management. And contributed roughly 37% of our firm-wide revenues in 2025. In addition, our private markets platform closed the year with $82 billion in AUM, up 18% year over year. Driven by approximately $9 billion of deployments across all channels in 2025. Finally, our SMA franchise reached $62 billion of AUM and grew 12% organically in 2025, led by our market-leading muni capabilities. Our active ETF suite expanded to $14 billion across 24 strategies, delivering 65% organic growth in 2025, excluding conversions. While we've seen strong inflows into targeted growth areas, firm-wide active net flows were negative for both the quarter and the full year. We had $9.4 billion of total net outflows in 2025, including $3.8 billion outflows in the fourth quarter. Firm-wide active equity redemptions persisted as performance headwinds lingered. With $7.6 billion outflows in the fourth quarter and $22.5 billion throughout the year. Roughly half of these were driven by retail redemptions. Taxable fixed income saw $2 billion in outflows in the fourth quarter and $9.1 billion for the years as overseas retail demand declined amid geopolitical uncertainty and a weaker dollar. Institutionally, we had roughly $4 billion of taxable outflows related to Equitable's reinsurance transaction with RGA. On the other hand, our tax-exempt franchise continues to deliver durable organic growth with $3.9 billion in inflows in the fourth quarter and $11.6 billion for the year. The platform has generated organic growth for thirteen consecutive years on long-term alpha for our clients. Alternatives and multi-asset strategies also remained a bright spot, posting $1.9 billion active net inflows in the fourth quarter and $10.6 billion for the full year. Supported by strong private markets deployments. Third, our scalable model and disciplined expense management continued to drive profitable growth. Our adjusted operating margin expanded to 33.7% for the year at the upper end of our 30% to 35% Investor Day target range. With a streamlined expense base and robust operating leverage, we are delivering strong flow through to earnings. Fourth, we accelerated our collaboration with Equitable as we continue to expand our private markets capabilities and amplify the flywheel effect of this partnership. I'm pleased to share that we're making investments to enhance our commercial real estate lending capabilities and expand the scale of our platform. As a result, we'll onboard more than $10 billion of new long-duration assets from by year-end 2026. This represents a meaningful expansion of our origination and service and capabilities in commercial mortgages. Beyond the financially accretive nature of this commitment, it underscores the broader strategic value of our partnership with Equitable. It's a clear example of how our alignment continues to unlock incremental growth, well beyond the $10 billion plus of additional committed assets. Leveraging our expertise in commercial real estate lending, the adjacent capabilities will build upon our existing footprint in core and core plus real estate credit and bring insurance tailored assets to over $20 billion. This enhances our scale and enables us to compete more effectively in the strategically important insurance channel. As of year-end, we managed over $59 billion on behalf of more than ninety third-party insurance clients. With general account assets growing 36% year over year. We see strong momentum in this business and expect to add $3 billion of new private asset mandates from strategic insurance partnerships in 2026. Slide four provides a summary page with our key financial Tom will follow-up with more commentary on our results. Turning to Slide five, I'll review our investment performance starting with fixed income. Fixed income markets delivered broad-based gains in 2025 despite softer labor market trends and limited macroeconomic data due to the government shutdown. Short-term rates declined following the Fed's rates cuts, while long-end yields remained elevated, steepening the yield curve. The US ten-year treasury ended the year near 4.2%, reflecting persistent long-term inflation and fiscal concerns. The Bloomberg US aggregate index returned 1.1% in the fourth quarter and 7.3% in 2025, while Bloomberg's global high yield index returned 2.4% in the fourth quarter and 10% in 2025. Overall, our one-year relative performance improved versus the prior quarter, supported by our higher quality exposure and global high yield, our longer duration positioning in American Income, continued outperformance across our municipal strategies. Where nearly all our funds are rated four or five stars by Morningstar. 86% of our AUM outperformed over the one and three-year periods, while 67% of our AUM outperformed over the five-year periods. Demand for intermediate duration has strengthened, and fixed income volatility has declined meaningfully. Reducing two key headwinds to performance and enhancing the diversification value of the asset class. As the curve steepens, investors are rotating out of cash, floating rate, and short duration instruments into intermediate duration products to capture higher yields. US retail taxable flows continue to show encouraging momentum, with two consecutive years of organic growth and increasing adoption of our active ETF suite. In 2025, we ranked among the top 15 fund managers in taxable flows in The United States, a meaningful step forward in the market where we've historically been underpenetrated. Municipals remain well positioned for continued supported by attractive tax-efficient returns and continued share gains of our market-leading SMA platform. Our systematic strategies are gaining traction in the investment-grade bond market, with strong institutional demand and consultant support in 2025. Underpinned by our consistent track record of outperformance. Turning to equities. The S&P 500 returned 2.7% in the fourth quarter, closing near record highs and delivering a roughly 18% total for 2025. This marks the index's third consecutive year of double-digit gains. For the first time in several years, International Equity outperformed The US supported by a weaker US dollar more compelling relative valuations, and a rotation away from US mega-cap technology leadership. Our equity performance softened in 2025, with relative returns declining across the one, three, and five-year periods. This was primarily driven by sustained underperformance in our largest US equity franchises, particularly growth defensive and sustainable strategies amid a market environment dominated by speculative momentum-driven names and narrow leadership. 21% of our AUM outperformed over one year, 37% over three years, and 51% over five years. With the most pronounced performance pressure in US large-cap growth-oriented services or benchmark concentrations remain acute. Outside of these areas, many value core and thematic strategies delivered strong absolute and relative results. Portfolios of exposure to cyclical sectors such as industrial and financials benefited from improving earnings breadth especially in non-US markets. Emerging markets, China, and international value and core strategies were notable standouts. Highly concentrated nature of US equity market leadership and stretch valuations created a challenging backdrop for active managers. In response, we're sharpening execution against our investment philosophies, leveraging decision analytics to identify areas for improvement, implement targeted changes, and measure outcomes with greater discipline. Our equity platform is intentionally diversified across styles and regions, avoiding overexposure to any single market regime. Thematic and cyclically oriented value strategies provide balance and upside participation in risk-on environments, complementing more defensively positioned portfolios. As market breadth began to improve entering 2026, platform performance has started to rebound. A growing share of growth, value core, and thematic strategies are now delivering stronger relative results while defensive strategies have lagged in a more risk supportive conditions. Looking ahead, we believe the continued earnings breadth and stable economic growth could favor international and value strategies. Additionally, portfolios with lower tracking error may offer clients more consistent participation in our leadership environments. Helping to diversify performance streams and reduce reliance on a concentrated set of products. Turning to slide six, I'll discuss our retail highlights. Retail flow softened in 2025, ending a two-year streak of organic gains. The channel saw $3.5 billion in net outflows in the fourth quarter, and $9.1 billion for the full year, driven by active equity redemptions and softness in taxable fixed income, partially offset by continuing strength in municipals. Active equities experienced outflows throughout the quarter and the year, primarily led by U. S. Growth-oriented services. Fixed income allocations favored tax-exempt strategies while taxable flows reversed to modest outflows driven primarily by APAC as the US dollar weakened. Our retail muni platform delivered 23% organic growth in 2025, surpassing $56 billion in third-party retail AUM across SMAs. ETFs, and mutual funds. Despite overseas headwinds, US retail momentum remained Taxable fixed income posted the second consecutive year of organic growth, supported by expanding adoption of our ETF suite alongside continued market share gains and tax-exempt, extending a thirteen-year history of organic growth. In effect, we believe the bond reallocation trend has significant runway and we're well positioned to help clients capture fixed income's enduring value. Just as we've consistently demonstrated in the early waves in 2024. Moving to slide seven, I'll cover our institutional channel. Institutional outflows moderated year over year, narrowing to $1.9 billion in the fourth quarter and $4.6 billion in 2025. Private alternatives remained a key growth engine supported by strong inflows across existing adjacent and newly launched strategies. Channel deployments into private markets totaled approximately $2 billion in the fourth quarter and nearly $8 billion for the year. Taxable fixed income outflows were modest in the fourth quarter, while outflows for the year were largely driven by equitable RGA's reinsurance transaction. Offsetting inflows into our growing systematic platform. ActiveEquity has experienced roughly $2 billion in outflows in the fourth quarter and $7 billion for the year, primarily from our concentrated growth and global core strategies. Our institutional pipeline expanded to nearly $20 billion, bolstered by the of more than the above-mentioned $10 billion in commercial mortgage loans. As previously noted, we expect to add approximately $3 billion of mandates from strategic insurance partnerships over the coming quarters. Next on slide eight, I will cover private wealth. Bernstein Private Wealth delivered its second consecutive quarter of organic growth and fifth straight year of positive net flows supported by record-level advisory productivity. Net new client assets grew 7% in the fourth quarter and 6% for the full year 2025, with annual organic growth of nearly 2% for both periods. Growth was broad-based across asset classes driven by client reallocations and fixed income, rising adoption of alternatives, and sustained demand for tax index equity solutions. As noted earlier, private wealth represents approximately 18% of firm-wide average AUM that contributes roughly 37% of total revenues, reflecting its attractive fee profile and highly engaged client base. Importantly, these revenues are sourced directly, underscoring the strength of our differentiated farm-to-table model. I'll close with slides nine and ten, which highlight the momentum of our private markets platform and the strategic value of our partnership with Equitable. Over the past decade, we've scaled our private markets platform to $82 billion in fee-paying and fee-eligible AUM. Delivering 18% year-over-year growth. Anchored in credit-oriented strategies, including direct lending, alternative credit, commercial real estate debt, and private placements, Our platform serves a broad and growing base of retail, institutional, and insurance clients across a wide range of risk-return objectives. Equitable's $20 billion permanent capital commitment now largely deployed has accelerated our expansion in private markets and strengthened our ability to seed higher fee, longer duration strategies. Our collaboration continues to evolve beyond periodic commitment cycles, with the expansion of the commercial mortgage capabilities representing the latest in a series of for successful initiatives spanning residential mortgages, structured private placements, and private credit. We view our strategic partnership with Equitable as a meaningful competitive advantage reinforcing AB's capital light, client-aligned model and enabling efficient and disciplined scaling of new offerings. With our proven track record and focused strategy, we're well-positioned to transform the business, unlock new opportunities for our clients, and our $90 billion to $100 billion target for private markets, AUM, 2027. With that, I'll hand it over to Tom to review our financial results. Tom?
Tom Simeone: Thank you, Seth, and thank you to everyone joining us today. AB enters 2026 with clear momentum, underscored by our fourth quarter and full year 2025 results. And the progress we're making on our strategic priorities. Fourth quarter adjusted earnings were 96¢ per unit, down 9% from the prior year period. Reflecting lower performance fees, investment gains, and other revenues. Full year 2025 adjusted earnings of $3.33 increased 2% versus the prior year. We full year distributions were $3.38 up 4%. The difference between EPU and distributions reflect the mathematical impact of the lower average unit count and the higher income generated in the second half of 2025. On slide 11, we show our adjusted results. Which remove the effect of certain items that are not considered part of our core operating business. For a reconciliation of GAAP and adjusted financials, please refer to our presentation appendix. Fourth quarter net revenues were $957 million. Down 2% versus the prior year as higher base fees offset by lower performance fees. Full year revenues were $3.5 billion flat year over year. And up 3% on a like-for-like basis when excluding the $90 million of Bernstein Research revenue recognized in 2024. Fourth quarter and full year base fees increased 5% year over year driven by higher markets. Fourth quarter performance fees were $82 million below the prior year period's $133 million which benefited from catch-up fees at CarVal on the private side and strong contributions from several public market strategies. Including Absa and ARIA. While full year performance fees of $172 million declined 24% year over year, they came in above our $130 to $155 million guidance range. And I will provide additional details shortly. Dividend and interest revenue along with broker-dealer related expense declined in both the fourth quarter and full year, reflecting lower client cash and margin balances in private wealth. Moving to expenses. Fourth quarter total operating expenses were $627 million, up 1% versus the prior year. Driven by 2% higher compensation expenses and essentially flat noncompensation expenses. Full year operating expenses were $2.3 billion down 2% as slightly higher compensation was more than offset by lower noncompensation expense. Fourth quarter total compensation and benefits increased 2% year over year, with a compensation ratio of 47.7% of adjusted net revenues. This is above last year's 46%, but better than our 48.5% guidance. Full year revenues exceeded our earlier expectations. Allowing us to reduce the fourth quarter compensation ratio. As a result, our full year compensation ratio was 48.3%, slightly better than the 48.5% included in our prior guidance. We will begin accruing at a 48.5% compensation ratio in 2026 consistent with last year's accrual and may adjust throughout the year depending on market conditions. Our guidance includes the cost of investments in talent and capabilities such as building out the commercial mortgage loan platform that Seth referenced. Promotion and servicing costs decreased 1% in the fourth quarter and 10% for the full year, with the full year decline driven by the separation of Bernstein Research. Fourth quarter G&A expenses were flat year over year. Full year G&A declined 9% driven by the lower occupancy cost associated with our Hudson Yards relocation, which dropped to the bottom line as planned. For full year 2025, noncompensation operating expenses were $599 million, just below our prior guidance of $600 million to $610 million. This reflects strong expense discipline amidst a volatile macro backdrop. For 2026, we expect full year noncompensation expense to be in the range of $625 to $650 million. The increase reflects normalization in promo and G&A expenses recovering from last year's depressed levels, includes discretionary investments in technology, the operational build-out of new strategies. Promo and servicing are expected to represent 20 to 30% of noncompensation expenses with G&A comprising the remaining 70 to 80%. As a reminder, servicing includes transfer fees, which move directionally with markets. Our year-over-year noncomp outlook implies six to 7% growth at the midpoint. Slightly above our long-term objective of keeping increases below the level of inflation. This reflects investments to integrate our new investment management platform and complete the onboarding of the commercial mortgage assets both of which we expect to be accretive to earnings over time. After a robust selection process, we selected an investment management platform that we believe will materially enhance our foundational data model and prepare us for the future. Over the years, we have purpose-built technology that has served us well, but much of it is aligned to an individual investment team's and asset classes. This new platform will allow us to unify around a single source of data improving analysis, decision making, and reporting. We expect it to streamline operations and drive both business and cost efficiencies. The implementation is expected to result in approximately $40 million in total cash flow impact over the next four years, some of which will be capitalized. Before generating $20 to $25 million in annual net expense savings beginning in full year 2030 after all legacy systems are retired. We full year '26 noncomp guide assumes roughly $10 million of P&L impact from technology implementation expenses in the onboarding of our CML platform. As Seth mentioned, we are excited to expand our partnership with Equitable as we scale institutional and insurance tailored solutions in commercial mortgages, an area where we believe we can rapidly scale. The team and platform will be fully operational in 2026, and we expect to initially manage more than $10 billion of long-duration assets for Equitable. With asset onboarding expected by year-end. Excluding discretionary investment spend, noncompensation expense would increase in the low single digits. Consistent with our long-term target. Interest on borrowings decreased by roughly $1 million in the fourth quarter and $15 million for the full year 2025 compared to the prior year periods. Reflecting lower interest rates and lower debt balances. ABLP's effective tax rate was 5.9% in 2025, just shy of the low end of our six to 7% guidance range. Which reflects a favorable mix of earnings. We forecast ABLP's effective tax rate in 2026 to be 6% to 7%. In the fourth quarter, our firm-wide fee rate was 38.7 basis points, and our full year fee rate was 38.9 basis points. As we've said before, the fee rate will continue to be mix dependent, and several dynamics influence both the quarter and full year. First, on the equity side, markets finished the year higher, but volatility meant that average AUM significantly lagged end-of-period levels. We also saw outflows from higher fee active equity services, which put modest pressures on the fee rate. In fixed income, elevated rates and FX volatility weighed on taxable fixed income flows and AUM. We experienced outflows in higher fee strategies such as American Income, while most of our active fixed income inflows came from Uni SMAs, which typically carry lower fees. Offsetting these pressures, we continue to grow our private markets capabilities, which remain a key structural support for our fee rate. Our regional sales mix and strategic growth initiatives have helped mitigate broader industry fee rate compression, and our all-in fee rate, including performance fees, has trended higher over time as private markets AUM has expanded. Slide 12 reflects a breakdown of our performance fees by private and public market strategies. Fourth quarter performance fees were $82 million above our prior expectations. Public market strategies contributed $37 million, well ahead of our $5 to $25 million guide. Driven primarily by another strong year from our financial services opportunity strategy which benefited from both idiosyncratic and sector-specific performance. Private market strategies contributed $45 million, slightly above our $35 to $40 million guide. With the upside largely driven by our middle market lending platform. As a result, full year 2025 performance fees totaled $172 million, above our $130 to $155 million outlook. Well below last year's $227 million. The year-over-year decline reflects the unusually strong 2024 contributions from public market strategies, such as our securitized credit strategy, Absa, and our long-short strategy, ARIA, as well as one-time carve-out catch-up fees that we did not expect. To recur in 2025. As we noted on last year's call. Looking to 2026, we have good visibility for private market strategies contribute $70 to $80 million in performance fees. We also expect public market strategies to contribute at least $10 to $20 million based on current market levels. Assuming no major market drawdown, we view this outlook as a floor though we would caution that sector or asset class level dispersion can materially affect performance fees even in constructive broader markets. While public market alpha is inherently volatile, and difficult to forecast, Our public alternative franchise provides meaningful upside and favorable market environments, and enhances our overall market leverage profile. This upside potential complements the more steady and predictable performance fees generated by our private markets business. Resulting in an attractive and diversified performance fee opportunity for the firm. Finally, closing with slide 13. As previously mentioned, the adjusted operating margin increased sequentially to 34.5% in the fourth quarter. 2025 results benefited from favorable markets and improved operational efficiency resulting in a full year adjusted margin of 33.7%. Above our 33% mortgage neutral forecast. This margin is at the higher end of our Investor Day target of 30 to 35% which we expected to achieve by 2027. We are pleased with the progress we've made in strengthening our margin profile. Having successfully executed our major market neutral initiatives including the Bernstein Research separation and our North America relocation strategy, we now see market performance and scalability as the primary drivers of future margin expansion. We have demonstrated meaningful operating leverage from both markets and scale with incremental margins well above our long-term 45% to 50% target. We expect constructive markets to continue boosting the profitability of our existing services reflecting improved flow through to earnings. While we remain disciplined on expenses, we are also committed to investing in growth to create durable value for our unitholders. Expect to continue allocating resources to high conviction initiatives that support organic growth and increased long-term profitability. Our strategic priorities include disciplined investments, and targeted growth initiatives such as new investment services, product innovation, expanded marketing efforts. Designed to enhance earnings power over time. The expansion of our commercial mortgage lending capabilities is a clear example of an investment that we expect to be accretive and value-enhancing over the long run. Before opening the line for questions, I want to express my gratitude to our colleagues for their considerable efforts and unwavering commitment to our clients, unitholders, and all stakeholders. With that, we are pleased to answer your questions. Operator?
Operator: At this time, if you would like to ask a question, press star, then the number one on your telephone keypad. To withdraw your question, simply press star 1 again. Please limit your initial questions to two, in order to provide all callers an opportunity to ask questions. You are welcome to return to the queue to ask follow-up questions. We will pause for just a moment to compile the Q and A roster. Your first question comes from the line of John Dunn with Evercore ISI. Please go ahead.
John Dunn: Hi. Wanted to maybe get a little more on the outlook for high yield funds distributed in Asia. Some of the know, almost beyond interest rates, some of the puts and takes of, you know, that influence demand month to month.
Onur Erzan: Sure. Hi, John. Yeah. It's Onur. Let me take that question. In terms of the broader trends in Asia, there are macro factors such as the FX risk for foreign investors relative to US dollar, the rates outlook, etcetera. I mean, obviously, we've been navigating those macro factors for decades. Some of our products in Asia have been in existence for thirty years. We have not seen a tremendous impact from a structural demand perspective in terms of the FX risk yet. Yes. There are some ebbs and flows, and on a relative basis, investors are a little bit more sensitive or concerned about the FX risk. But it has not dramatically impacted the structural fixed income demand. As you know, the Asia clients, the retail particularly likes income. And still, the US dollar denominated strategies and global strategies deliver attractive income. Hence, the structural demand remains strong. In terms of our business, in terms of a couple of positives, as you know, we started globalizing our ETF franchise, and we started with fixed income given our strong brand in Asia particularly in fixed income. And we added our second active ETF in Taiwan. If you recall, we were the first active fixed income ETF launcher in '25. This year, we added a high yield fund, and it was a successful IPO. Top in its category. So we see broadening of the vehicles that will help us. And another thing that will help us in Taiwan we were facing some regulatory constraints in terms of percentage of assets that can come from Taiwanese investors in some of our vehicles. Taiwan raised those minimums from 70% to 90% for us. Based on some of the commitments. As a result, that will help us unlock more opportunity in Taiwan. So as a result, there are a couple of unique AB specific factors that will help with the demands. In 2026. And then, obviously, in the broader markets, there will be definitely competition across strategies and depending on how our strategies perform on a relative basis we'll gain or lose market share. As you know, we hold very strong market share in cross-border vehicles that are used in markets like Hong Kong. We are typically a market leader. Sometimes we give up some market share or gain some market share depending on particularly, the positioning of the rate curve given we tend to be long duration and long credit structurally in most of our products.
John Dunn: Got it. And then private wealth did well in the fourth quarter. Could you maybe talk about the seasonality you might expect over the course of the year? And then kind of frame a little more the areas where you expect to see flow demand.
Onur Erzan: Sure. Yeah. As you pointed out, we are very pleased how we finished the year in private wealth. Almost 7% annualized sorry. 7% net new assets, organic growth rates. So feeling very good about that. In terms of seasonality, you always have the tax impact. In the second quarter, so that's always the biggest thing to consider. Overall. Other than that, seasonality, maybe sometimes you have a little bit of a softness in August. With holidays and all that in most parts of The US. But broadly, I think it's a more second quarter tax-related seasonality for the most part. And beyond that, we are feeling pretty good about our pre pipeline in terms of our business. As you recall, when we mentioned in the past, one of our big drivers of growth in terms of particular new client acquisition is the exits. As the M&A activity has been robust and given we have a very strong ultra-high network proposition with business owners and entrepreneurs. When we have strong exits through M&A, we tend to do quite well. In terms of onboarding new ultra network clients. So we continue to see strength in that area, as an example.
John Dunn: Thanks very much.
Operator: Your next question comes from the line of Benjamin Budish with Barclays. Please go ahead.
Nathan: Hi. This is Nathan on for Ben. Just a quick question with AI-related volatility impact software evaluation. Can you size AB's private credit exposure to software across the portfolio by, you know, percentage of AUM, maybe top exposures, like, any areas where you tie in underwriting or adjusted risk limits? Thank you.
Onur Erzan: Sure. It's Onur. Let me take that as well. It's not a very significant exposure for us given our broadly diversified global asset management platform. To recap our private alt platform is around $82 billion of assets based on fee-earning and fee-eligible AUM. Within that, roughly 25% is our corporate direct lending business, PCI. And in that business, typically, it is we are the lead underwriter in middle market, loans. Against sponsors. Typically, we work with 250 sponsors in the United States. Typical, companies we work with are in the $10 million to $75 million EBITDA range. So within that PCI portfolio, we have exposure to technology or software kind of companies. Our exposure tends to be in line with the rest of the corporate direct lending markets. So typically around a quarter of the AUM tends to be related to software. We have a long-standing history in terms of operating and technology and software, and we have not seen any material change in terms of our loss experience, and we have been very diligent in monitoring our credit watches and staying close to those borrowers. But so far, again, no major deterioration. And even, it was to deteriorate materially, it's not gonna impact our business given middle market lending is only roughly $25 billion of AUM. And within that, we only have a certain percentage exposure to software, as I mentioned. So overall, we are not that sensitive to it.
Nathan: Thank you. And a follow-up would be, you know, given we know we understand that it's early to update. Of the target of getting, like, $90 to $100 billion of private markets AUM. But, like, how are you thinking about growing that private market? Piece beyond that time horizon?
Seth Bernstein: Well, let me answer it. This is Seth. Let me answer it this way. We're not including the money that we will be onboarding this year from the commercial mortgage lending. Team. I mean, yes, that counts as private market assets. But we continue to focus on feeding the $90 to $100 billion that we forecasted for 2027. We will with our second quarter earnings, revise that target. For you, but we are ambitious, and we see further opportunities to expand it.
Nathan: Thank you.
Operator: Again, if you would like to ask a question, please press star then the number one on your telephone keypad. There are no further questions at this time. Mr. Georgali, I turn the call back over to you.
Ioannis Georgali: Alright. Thank you all for joining this busy day. Please follow-up with us if you have any additional questions. Thank you very much.